Operator: Good day, ladies and gentlemen, and welcome to the Cabot Microelectronics Second Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would now like to turn the conference over to Ms. Colleen Mumford, Investor Relations Director. Ma'am, you may begin.
Colleen Mumford: Good morning. My name is Colleen Mumford and I'm Cabot Microelectronics' new Investor Relations Director. I've worked at CMC for over 20 years in various roles including R&D, quality and Human Resources. I'm excited to be in this role as we report our second quarter results and I look forward to working with you in the future. With me today are David Li, President and CEO and Scott Beamer, Vice President and CFO. This morning we reported results for our second quarter of fiscal 2018, which ended March 31, 2018. Whether you are joining us online or over the phone, we encourage you to review the investor presentation that we've made available under the Investor Relations section of our website, cabotcmp.com. We made these slides available at approximately the same time as the issuance of our earnings release this morning. A webcast of today's conference call and the script of this morning's prepared comments will also be available on our website shortly after this live conference call. You may also request any of the information by calling our Investor Relations office at 630-499-2600. Please remember that our discussions today may include forward-looking statements that involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from these forward-looking statements. These risk factors are discussed in our SEC filings, including our Form 10-K for the fiscal year ended September 30, 2017. We assume no obligation to update any of this forward-looking information. Also, our remarks this morning reference non-GAAP financial measures. Our earnings release includes a reconciliation of our GAAP to non-GAAP financial measures. I will now turn the call over to Dave.
David Li: Thanks, Colleen. Good morning everyone and thanks for joining us. This morning we announced another quarter of very strong financial performance including record quarterly revenue, net income and earnings per share. This is the fourth consecutive quarter, in which we have reported record revenue, which we believe demonstrates the continued strong execution of our strategic initiative, complemented by robust industry demand. Scott will provide additional details about our financial results later on the call. Let me start by providing some details on the current operating environments, and our view of global semiconductor industry demand. During the March quarter, industry demand remained strong, particularly in the memory segment, where our customers continued their migration to 3D NAND. We currently estimate that approximately 50% of 2D to 3D NAND wafer capacity conversion has occurred with the remainder expected to be completed over the next several years. We've also seen continued capacity expansions in 3D NAND underway, primarily in Korea and China, which along with the expected tight supply of DRAM memory should provide growth opportunities for us in the future. In the advanced logic and foundry segments, we have seen our customers growth moderating a bit as they get past their traditional stronger periods associated with new smartphone launches. However, we continue to work closely with our customers to help the advance the smaller feature sizes and believe that new applications in mobile, artificial intelligence, autonomous vehicles and blockchain should continue to drive demand for advanced logic semiconductors in the future. Finally, we continue to see a robust demand environment in the legacy logic and foundry segment driven by automotive, Internet of Things and industrial automation. We expect this demand environment to persist, given the increasing connectivity requirements needed in these important applications. Now let me turn to company-related matters. This quarter we recorded strong results in all three key product areas; tungsten slurries, dielectrics slurries and CMP pad, primarily due to strong demand across a wide range of applications and technology nodes. Geographically, all regions were up this quarter compared with the same quarter last year. Most notably, revenue in Korea was up approximately 65% year-over-year, primarily due to our strong positions in the growing memory market in that region. Turning to performance by product area, revenue in our tungsten slurries was 17% higher than in the same quarter last year. This growth was driven by the ramp of our customers' advanced technologies in memory and logic including 3D NAND and FinFET. As mentioned earlier, we expect the memory area to remain strong and 3D NAND expansion to continue into the second half of this fiscal year and beyond. In addition, during this quarter we achieved record revenue from our dielectric slurries. This was primarily driven by increased demand and the benefit of customer wins for our ceria based solutions at advanced memory customers. We continue to see a bright future for our refreshed portfolio of dielectrics products in memory, logic and foundry, and believe we are well positioned to continue growing revenue while also improving profitability of this product area. Turning to CMP pads. This quarter we also achieved record revenue. We are focused on capacity expansion and driving excellence throughout our supply chain to support our customers in both advanced and legacy applications. In addition, we are seeing increased rate of adoption at major advanced memory customers due to the lower defectivity performance benefits of our NexPlanar technology. We believe the combination of our technology, global technical support and the shorter qualification times we have experienced with our NexPlanar pad solutions, combined with a strong customer interest will keep us on the trajectory of our goals to grow our pads revenue to over $100 million in fiscal 2019. I'm also pleased to report that during the quarter, we were awarded a perfect quality award from ON Semiconductor, a leading supplier of semiconductor based solutions, primarily focused on automotive, communications and computing applications. CCMP has received this award for three consecutive years which demonstrates our ongoing commitment to supply high quality robust CMP solutions that enables our customers to advance their technology in the growing areas of the semiconductor industry including automotive. Also of note this quarter, in March, we announced plans to collaborate with Fujimi Incorporated in the development of certain advanced IC CMP solutions for the semiconductor industry. We believe that by working together, we can leverage our respective expertise to meet and exceed customer requirements for innovative IC CMP solutions for an increasing number of advanced semiconductor applications. I'm delighted with the opportunities this initial collaboration is designed to provide for our customers and respective companies. Fujimi Incorporated and Cabot Microelectronics are both leaders in materials development with a track record of providing high quality leading edge IC CMP solutions to our customers. Together, I believe we are even better positioned to develop advanced IC CMP solutions for the semiconductor industry. Finally this quarter, we also announced our refreshed capital deployment program, which includes the doubling of our quarterly cash dividend, as well as a commitment to returning at least 50% of our annual free cash flow to our shareholders. We believe this refreshed strategy demonstrates our confidence to continue profitably growing our business as well as our commitment to returning additional value to our shareholders. Looking ahead, we feel confident about our abilities to continue delivering on our long-term financial goals of growth faster than the industry and margin expansion. Although, recent reports suggest that industry growth maybe beginning to moderate especially in the logic in foundry areas, we believe our business model which is primarily based on wafer starts will allow us to continue to profitably grow. As a result, we currently expect third fiscal quarter revenue for IC CMP consumables business to increase by low to mid-single digits compared to this quarter. I'm confident of the continued momentum in our three key product areas, which we believe provide the foundation for profitable growth for our company. We remain focused on delivering innovative, high performing and high quality CMP solutions to our global customers. We believe our global resources, infrastructure and quality and supply chain excellence continue to differentiate us among leading suppliers of specialty materials to the semiconductor industry and position us well to deliver another year of strong performance. And with that, I'll turn the call over to Scott, for more detail on our financial results.
Scott Beamer: Thanks Dave and good morning everyone. My comments will generally follow the related slide presentation we posted on our website this morning. Let's start with an overview of our financial performance this quarter which is provided on Slide 3. Revenue for the second quarter of fiscal 2018 was a record $143 million, which is approximately $24 million or 20% higher than the same quarter last year. This increase reflects continued strong global semiconductor industry demand and our focus on our three key product areas. Sequentially, revenue increased $3 million, or approximately 2%, which is in line with the expectations shared on our previous conference call in January and at our Annual Meeting in March. This is notable since the March quarter has traditionally been a seasonally softer quarter for us. Our net income of $29.7 million was also a record, and represented an increase of $11.5 million, or approximately 63%, over the same quarter last year driven by higher revenues and increased gross margin. Non-GAAP net income was $31.3 million. Dave mentioned our previously announced capital deployment program and research collaboration with Fujimi. Later, I will elaborate on the capital deployment program. Now let's drill down into revenue, which is shown on Slide 4. As previously stated, we defined tungsten slurries, dielectric slurries and polishing pads as three key product areas that are strategically important to us. During the quarter, these accounted for approximately 80% of total revenue, and I'll mention each in order. Tungsten revenue was $60 million, an increase of approximately 17% compared to the same quarter last year. Dielectrics slurries delivered record revenue of $35 million, up approximately 24% from the same quarter a year ago. Sales of polishing pads delivered record revenue of $21 million, up approximately 23% compared to the same quarter last year. Sales of slurries for polishing metals other than tungsten, including copper, aluminum and barrier, represented $17 million, and increased approximately 15% from the same quarter last year. Finally, revenue from our Engineered Surface Finishes products, which includes QED, Data Storage, Electronic Substrates, and Surface Finishes, was $10 million. During the quarter, we divested our Surface Finishes business, which did not have a material impact on our second quarter financials. Now please refer to Slide 5, which provides some higher-level P&L comparisons. Gross margin for the quarter was approximately 52.5%, compared to 50.4% in the same quarter a year ago. Excluding $1.3 million of amortization expense related to the NexPlanar acquisition, gross margin was approximately 53.4%. Higher sales volume and a higher valued product mix were positive, but were partially offset by higher fixed manufacturing costs, including higher incentive compensation expense. Year-to-date, gross margin was approximately 52.7%, compared to 50.1% last year. We now expect our GAAP gross margin for the full fiscal year to be between 51% and 53%, increasing our guidance from the prior expectation. This includes an adverse impact of approximately 100 basis points related to NexPlanar amortization expense. Operating expenses, which include research, development and technical, selling and marketing, and general and administrative costs, were $38 million this quarter, an increase of $1.9 million over the same quarter a year ago. This primarily reflects higher incentive compensation and annual merit increases. As a percent of revenue, our operating expenses declined to 26.5% compared to 30.3% in the second quarter of fiscal 2017. Our operating margin was 25.9% in the quarter, an increase of 580 basis points from the same quarter last year. This increase was driven by higher gross margin and prudent control of operating expenses. Diluted EPS was $1.14 this quarter which represents an increase of approximately 61% over the prior year quarter. Diluted EPS on a non-GAAP basis was $1.19. This was primarily driven by higher revenue and higher gross margin. Now please refer to Slide 6, which provides balance sheet and cash flow information. We generated cash flow from operations of $36.5 million. We ended the quarter with a cash balance of $461 million and $138 million of debt outstanding. We paid off this debt in April. Capital spending for the quarter was $4.6 million, bringing our year to date total to $8.8 million. Accordingly, our free cash flow was $31.9 million in the quarter. Let me provide a few reminders about our capital deployment program. As we reported in March, our Board of Directors declared a quarterly cash dividend of $0.40 per share on our common stock, representing a 100% increase over our previous quarterly cash dividend, and an annualized rate of $1.60 per share, or approximately $40 million in aggregate. This represents approximately one third of our fiscal 2017 free cash flow of $120 million. We also announced our intention to distribute at least 50% of our prior year cash flow to our shareholders on an ongoing basis through a combination of cash dividends and share repurchases. This combination would represent at least $60 million to be paid in fiscal year 2018. We believe the increase in our regular quarterly cash dividend and our stated intention to distribute at least one-half of our free cash flow allows us to return a meaningful amount of capital to shareholders, while also affording flexibility to execute M&A that leverages our core capabilities. As a reminder, our capital deployment priorities remain, investing in the organic needs of our business, paying dividends, executing mergers and acquisitions in related areas, and repurchasing shares. As of March 31, 2018, we had approximately $115 million of authorization remaining under our existing share repurchase program. Separately, the passage of the U.S. Tax Cuts and Jobs Act facilitated our repatriation of approximately $200 million in overseas cash and short-term investments. We executed this in April and used some of this cash to pay off our term loan. As a result, we expect to save approximately $4 million in interest expense on an annualized basis. We provide some closing remarks on Slide 8. From a financial perspective, we achieved strong performance in our fiscal year 2018 second quarter. Revenue increased $24 million from the prior year, while operating income increased $13 million, implying that approximately 54% of our incremental revenue dropped directly to operating income. Finally, in the appendix on Slide 9, we provide a table showing the updates to certain expectations. As we think about the second half of fiscal 2018, at present we expect continued solid industry demand. With that said, and as Dave mentioned, we currently expect fiscal third quarter revenue for our IC CMP consumables to show a low to mid-single digit increase compared to our second quarter. As stated, we are raising our full fiscal year gross margin guidance to 51% to 53%. We intend to continue to manage our operating costs to provide strong operating leverage and net income growth. We now expect our operating expenses for the full fiscal year to be between $148 million and $153 million, an increase from the prior range. This increase allows us to support additional revenue and primarily reflects higher incentive compensation and annual merit increases. Our effective tax rate for this fiscal quarter was 19.6%, and we continue to expect our effective tax rate for the remaining quarters to be between the range of 21% and 24%. Our capital spending expectation for the full fiscal year remains between $18 million and $22 million. Now I'll turn the call back to the operator, as we prepare to take your questions.
Operator: [Operator Instructions] And our first question will come from the line of Amanda Scarnati with Citi. Your line is now open.
Amanda Scarnati: Hi good morning. Just a question on China demand, seen some recent articles that one of the Mainland Chinese manufacturers started receiving orders for 3D NAND. Have you started to see any revenue from these new upcoming Mainland Chinese manufacturers, or do you expect that revenue to start to fill up in the second half of the year as they start ramping still their volume production versus perhaps maybe just private line production at this point?
David Li: Hi Amanda, it's Dave. You know for China, obviously I spent a lot of time there and you know we follow same things you do. There are a lot of newer domestic players that are in various stages of startup and we have a very strong position in China with both the domestic customers as well as the international players. So, we're really excited about the future growth there in China. You know specific to your question about a memory customer starting up in China, we've seen a lot of activity there. I would just generally say most are still in pilot production at this time, except the established players like the SMICs and Huaweis. But we're supporting and watching closely.
Amanda Scarnati: Then one of your largest customers, you know commented during the earnings calls last week that there is significant weakness in smartphones in the second quarter. If there is a shift from CSMC, Intel starts to win incremental modem revenue, how does that impact Cabot's business? I.e., do you have more content better exposure at CSMC than you do at Intel or is it sort of relatively balanced between the two?
David Li: As you know Amanda, we sell – our products are used in pretty much every fab that makes semiconductors today. And so, we also follow the CSMC announcement and more broadly kind of a concern around weakness in handsets. And obviously, you know smartphones drive a lot of demand in semiconductors, but there is a lot of other sectors that are also pulling demand, things like automotive, industrial, high-performance computing, blockchain, all those are really becoming more and more important for semiconductor demand. So, lot more than just mobility. And I would say also for a customer like CSMC, they also have a wide range of different applications besides smartphone. For us, we really see a continued strong demand environment especially in memory, but also in those legacy logic and foundry segments. So, for us, you know whether business shifts back and forth between customers, that doesn't affect us as much, but obviously we're watching the handset demand as well as the other sectors.
Amanda Scarnati: Then the last question I have is just kind of following up on that. In memory specifically, does it necessarily matter to you if its DRAM, if it's NAND that's really producing. I would assume that there is better content on 3D NANDs than there would be on DRAM. But how – you know how much of a difference is there for you?
David Li: Yeah, we have strong positions in both NAND and DRAM as you know. Samsung is our number one customer and they just reported overnight a continued strong outlook that they talked about for memory. And just in terms of between NAND and DRAM, just because of the current transition that's happening from 2D to 3D in the NAND space, where there is a doubling of CMP steps when you go to 3D NAND. That presents a strong growth opportunity for us than the continued technology migration and DRAM. We mentioned that we think about 50% of 2D has been converted to 3D. So, there is still lot of runway for that conversion going on, and we're really excited about the growth opportunities, especially in NAND.
Operator: Next question will come from Edwin Mok with Needham & Company. Your line is now open.
Edwin Mok: First question is just to follow-up on Amanda's question. I guess two parts; first is on the memory side. Do you think you can pass the 3% of your sales this year given the growth in memory? And then on the trialing edge versus leading edge, is there a way to kind of think about your mix of trailing edge versus leading edge exposure for your foundry logic?
David Li: Yeah. Edwin, I missed the first part of your question around memory. Could you repeat?
Edwin Mok: Yeah, the first part speaks to just – I think last year, last fiscal year, you guys report 46% of your sales come from memory customers, right? Just curious with the growth in memory, do you expect that to surpass a few percent, or is that growing even faster than the overall company?
David Li: Yeah. And that's something we will update at the end of the year. We did talk about around 45%, 46% from memory and we also commented that memory was growing the fastest. So, just based on that trajectory, you can make you assumptions there. And then in terms of split between advanced and legacy, you know what we're seeing is, there is continued strong demand in sort of the legacy. What I can call like 35, 28, 20-nanometer technology and Scott actually commented about our non-function metal business being up. One of the drivers was that more legacy aspect pulling products like aluminum into the mix. But as you know we have a really good exposure across all of different technology nodes, both advanced and legacy. The one comment I'd make around advanced is especially on the logic and foundry side, you know with 10 and 7-nanometers still in ramp. That's a FinFET structure that uses a tungsten gate. So, that's a really important product for us and working closely with those customers and obviously that's still in fairly early stage ramp. So, we fell like we've got a really good amount of exposure to both advanced and legacy. We just see a stronger demand environment in the near-term for the legacy logic and foundry.
Edwin Mok: Okay, great. Actually that very valuable color and a good segue for my next question, I guess next two questions. So, first as I noticed that your tungsten revenue while up year-over-year is actually down sequentially. Is that just seasonal, and then I have a follow-up question on tungsten too?
David Li: Yeah. Sure, for tungsten, we are up year-over-year about 17%, down slightly sequentially and we see that as basically fluctuations in order demand. Nothing has changed from our perspective in the competitive environment. So, really just order fluctuation, and obviously we see a really strong growth – strong future for tungsten especially given 3D NAND and FinFET.
Edwin Mok: Then, I guess I'll call it a longer-term question, probably not to-date, but you know I noticed that there is more talk about tungsten flux or some of the tungsten process being replaced by cobalt. Just wondering how that could affect your business? Well, does that have any effect on your business and where do you guys stand in terms of providing slurry for polishing cobalt?
David Li: Yeah. And obviously we work really closely with those advanced customers that are considering new and different materials at different stages. Cobalt is one material that's of interest. But you know for us, the more challenging the application, I think the better it is for us, because that's obviously where we excel. We're the only one that has a focused business on CMP, so those materials challenges should really play into our strength. We haven't seen on the roadmap, a very strong adoption of cobalt. Right now, it's just one of the materials being considered, but it's something that we're working closely with our customers as they look at material solutions.
Operator: Thank you. And the next question comes from the line of Dmitry Silversteyn with Longbow Research. Your line is now open.
Dmitry Silversteyn: Good morning. Thanks for taking my call, couple of questions if I may. First of all, on the Fujimi collaboration you announced. Is that what the – basically their slurry business, are you looking to develop something between your slurry operations or are there other parts of Fujimi technology that you are looking to access with this collaboration. And as a follow-up to that, you know is this a first step in a much closer relationship over time for you guys?
David Li: Hi Dmitry, so we are excited and encouraged by the collaboration, but obviously just in the beginning stages, just to clarify again, the collaboration at this stage is really based on collaborating on IC CMP applications on the slurry side. And just you know really what we look at is leveraging our respective competencies in areas that we really don't participate in today, either company. So, you know an example of that would be some of the emerging materials that are being contemplated for 7-nanometer and below for advanced logic. So, really niche applications, but I do think we have the opportunity to leverage both company's expertise in this area. They're obviously leader in the field. We're a leader in the field. So I think this will be good for our customers, but obviously just beginning and our focus right now is making that collaboration successful.
Dmitry Silversteyn: And then just looking at your capital deployment, obviously returning cash to shareholders either through dividends or share purchases is commendable. But can you update us on what's going on with your M&A effort sort of how full is the cuts hopper, where you are in kind of the funnel process of getting something across the finish line? And what can we expect from you in terms of direction you are looking at for M&A deals?
Scott Beamer: Dmitry, this is Scott. If we have a lot of efforts, a lot of activity going on in terms of building up that pipeline in continuing to build a robust pipeline. Yeah. There is nothing for us to speak about here today, but from a deployment perspective and an action ability perspective, we are going to make sure that we have the dry powder necessary. And we view our situation today and obtain paying down the term loan and moving to zero debt as the right thing to do right now. But we hope that will step along the path and certainly we'd like to use our strong balance sheet to enable future M&A going forward.
David Li: And just to echo Scott's comments, Dmitry, the type of opportunity we are looking for has not changed. We look for something in the material space in a closely related area. And as Scott mentioned, even with our new capital deployment plan, we feel like we have plenty of flexibility to go after different opportunities in the M&A space.
Dmitry Silversteyn: If I can sort of follow-up at your – the inability to close the deal since the planer solutions deal – sorry, not the planer solutions, the NexPlanar deal. Is that a function of properties not being for sale? Is it a function of difficulty finding acquisition candidates or is it disagreement on the valuation that they may want? And also sort of what are the sizes of the deals are you looking at? Are you looking at tons of millions of dollars in acquisitions, hundreds of millions, a billion plus. Can you just give us an idea of how broadly you're net is being cast?
David Li: Right. So, just in terms of that you mentioned the NexPlanar acquisition, that's one we're really pleased. What that was an example of more of a bolt-on where we saw a technology in sort of a start-up type of company where we took that technology, enhance the quality, supply chain, and then leveraged our commercial channel for proliferate pads and that's done really, really well. As we mentioned another record quarter for pads and we are seeing a really strong pipeline behind that. In terms of just different opportunities, the list is limited because we always been very disciplined around acquisitions and we want to find something in the material space that's also financially compatible with us. So the list is not long. We would like and we look at all different types of sizes as well, depending on what it can add to our business. If it was more of a bolt-on, you think that'd be more in the CMP space something like NexPlanar, if it was a larger acquisition that would be something that would have to leverage our capabilities, but also as mentioned in the material space and a closely related area and financially compatible with us.
Dmitry Silversteyn: David, Thank you.
David Li: Thanks.
Operator: Thank you. And the next question will come from the line of Chris Kapsch with Loop Capital Markets. Your line is now open.
Chris Kapsch: Good morning guys. Couple of follow-ups. One, on this up trapped in sales for, like I see the other metals business if you will, the aluminum, copper and maybe even STI up 15%. Can you characterize that the outlook there is stronger near term? I am just wondering, obviously that's partly tied to this whole internet of things phenomenon, but just wondering also if there is any sense that you are gaining share in those legacy nodes, or is there any change in the competitive dynamics as those older nodes see a little bit broader strength from the macro trends?
David Li: Yeah. Chris. So, we've obviously in the background of a very healthy demand environment. We saw a pretty healthy increase in our non-constant metals. I commented earlier that some of that was driven by demand for our aluminum solutions, which as you know are used in the 28 and 20 nanometer node. And we also saw some increases in barrier and copper as well. I feel like in terms of competitive landscape, we feel like if there is an opportunity out there, we should be winning them in the CMP space. So, you know really no change there, but overall healthy demand, and as I mentioned earlier also the legacy foundry and logic has so much showing some consistent strength and we see that continuing to be strong going forward.
Chris Kapsch: Okay. Just to follow-up on the CMP pad business, obviously the pieces behind buying NexPlanar was that they had a better performing for your customers and I think that's proving out. But it seems like given your formal comments about the adoption of the leading edge that your conviction around that out performances is more definitive, which is a good thing obviously. What I am curious about is though, given just how powerful this sort of lower deep activity in yield benefit that your customers derive using these pads. Are you seeing or why aren't you seeing more adoption that even legacy, particularly given the strength that we just talked about it some of those nodes. And as semiconductor customers want to swept those older fab assets, I would think that this is a pretty capital efficient way for them to get more output from those fab just to adopt a pad technology that results in greater yield. So just wondering, just about the overall trends in your process of record wins in most concentrated in the advanced node that you talk about or is it really broad based?
David Li: Right, Chris. So, as you know that the new nodes and advanced nodes are – there is a window there where if you win that, there is clearly an opening, where the displacement might take a little bit to uptime. When we talked about in the prepared comments is we are really pleased about some increased proliferation with some memory customers at the advanced nodes. But our pipeline for pad opportunities, span the whole gamut between displacement and new technology nodes as well. You mentioned sort of the legacy foundry and logic, we do see that as a really big opportunity, not only just for pads, but also for consumable sets to bring both the pad and slurry together to those customers. So, I think you'll see us be even more active in that area in the future.
Chris Kapsch: Okay. And then if I can just follow-up one more on Korea. I think you said 65% higher sales growth year-over-year, and obviously that's tied the memory. But just wondering if there is something that's driving sort of the outside sales gain, is it just the transition of a fab or too? Or is it market share gains? Is it adoption of the pads that you just mentioned in the memory application or all the above?
David Li: Yeah. I think it's a bit of all the above and just this past week, both Samsung and SK Hynix announced. And although there was some concern over memory pricing, their demand outlook for memory was very robust and continues that way. And so, obviously they're heavily concentrated in Korea. They also have facilities in China, but mostly in Korea, and I think that's primarily what drove the growth was just healthy demand in the memory market. I think for our company as a consumables wafer-based start – wafer start based company, our positions in memory I think are really differentiated. And so, when those key customers are doing well that will definitely have a positive impact on our results.
Chris Kapsch: Okay. Thanks for the color guys.
David Li: Thanks.
Operator: Thank you. [Operator Instructions] And our next question will come from the line of Mike Harrison with Seaport Global Securities. Your line is now open.
Jacob Schowalter: Good morning. This is Jacob on for Mike. Congrats on the good quarter. I have a couple of questions on pads. First KFMI, how much did that contribute to the strong pad growth in the quarter?
David Li: Right. Jacob, so for pads, again we announced a record quarter. The KFMI collaboration is something that we are focused on to bring more business in the China market longer term. We did mention we saw first revenue already, but it's very early. So I would say, not a significant driver of our pads revenue yet.
Jacob Schowalter: Okay. And then I saw press release, your competitor in the pad space had a ribbon cutting ceremony for manufacturing expansion in Taiwan with some new – they were highlighting new capabilities for advanced pad. So is this just business as usual from a growing and evolving market in that space? Or are they trying to sort of catch up to where you guys are in the pads front?
David Li: I think we are going to be focused on what we can control. There obviously, the incumbent really still throughout the industry, and so we are seeing a lot of good success with our pad products. And so, I would say that's more business as usual.
Jacob Schowalter: Okay, great. Thank you, guys.
David Li: Thanks.
Operator: Thank you. And I am showing no further questions at this time. I would now like to turn the conference back over to Ms. Colleen Mumford for any closing remarks.
Colleen Mumford: Great. Thank you. That is all the questions that we have this morning. Thank you for your time and your interest in Cabot Microelectronics.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude your program. You may all disconnect. Everyone have a great day.